Presentation: 
Operator: Good afternoon. My name is Bonnie and I will be your conference operator for today. At this time I would like to welcome everyone to the Boston Beer Third Quarter 2010 Earnings Conference Call. (Operator instructions)  I would now like to turn the conference over to Mr. Jim Koch, Brewer and Founder. Please, go ahead, sir. 
Jim Koch: Thank you. Good afternoon and welcome. This is Jim Koch, the Brewer, Founder, Chairman and I’m happy to be here to kick off the 2010 third quarter earnings call for the Boston Beer Company. Though I’m in airport, so if you hear something in the background about terrorist levels, don’t worry, it’s just normal airport chatter. Joining the call from Boston Beer will be Martin Roper, our CEO, and Bill Urich, our CFO.  I’ll begin my remarks this afternoon with few introductory comments including some highlights of our results, and then hand over the microphone to Martin, who will provide an overview of our business. Martin will then turn the call over to Bill, who will focus on the financial details for the third quarter as well as our outlook for the remainder of 2010 and our initial outlook for 2011. Immediately following Bill’s comments, we’ll open the lineup for questions.  We achieved depletions growth of 7% in the third quarter and total depletions grew to 8.5 million cash equivalents. This record third quarter for total depletions is due to our strong sales execution and continued support from our wholesalers and retailers. While we’re pleased with the results, depletions growth in the quarter slowed from the first half growth rates due to tougher year-on-year comparisons and a timing of certain promotional activities. We continue to see expanded distribution of domestic specialty brands as well as local craft brands and that is increasing competition in the category. We’re happy with the help of our brand portfolio and remain positive about the future of craft beer. We have started testing our Freshest Beer in Town program with two wholesalers to reduce wholesaler inventory and improve the freshness of our beers in those markets. Wholesalers typically carry approximately four or five weeks of packaged inventory and three to four weeks of draft inventory. Our goals are to reduce this through better on time service forecasting, production planning and cooperation with our wholesalers. We believe that in the long-term, this program will improve the quality of our beer in the market and reduce cost and improve efficiencies at our breweries and in the distribution system. We’re excited by the opportunity of this Freshest Beer in Town program and intend to continue to learn and if successful, expand testing to cover more of our volume.  I’ll now pass it over to Martin for a more detailed overview of our business. 
Martin Roper: Thanks, Jim. Good afternoon, everyone. As we state in our earnings release, some of the information we discuss in the release and that may come up on this call reflect the company’s or management’s expectations or predictions of the future. Such predictions and the like are forward-looking statements. It is important to note that the company’s actual results could differ materially from those projected in such forward-looking statements. Additional information concerning factors that could cause actual results to differ materially from those in the forward-looking statements is contained in the company’s most recent 10-K and 10-Q. You should also be advised that the company does not undertake to publicly update the forward looking statements, whether as a result of new information, future events, or otherwise.  We believe we performed well in the third quarter and that the business continues to be healthy and maybe responding to our increased investments in local marketing and point of sale and increases in sales force personnel. We have been working hard to grow the business and have seen improving trends in September and October. We have increased our expectations for full year depletions growth to between nine and 11% to reflect this improvement. We have continued to increase our investment in our sales force and other brand support activities in order to maintain our momentum. Year-to-date depletions through October 2010 are estimated to be up approximately 11% from the same period in 2009 with one last selling day in the October 2010 period. Shipments and orders in hand suggest the core shipments year-to-date through December 2010, will be up approximately 10% compared to the same period in 2009. Actual shipments may differ, and no inferences should be drawn with respect to shipments in future periods.  As we look forward to 2011, we expect to increase our sales force and brand support levels further to address the increasing the competitive activity and to grow our brands appropriately given the opportunities we see. It is possible that these decisions might result in slower earnings growth in 2011 as we may forsake some earnings in the short-term in order to build our organizational capabilities and support our brands at appropriate levels. In our test of improving the freshness of our beers at wholesalers, we have successfully reduced the participating wholesaler’s inventories by approximately two weeks resulting in fresher beer being delivered to retail. Jim referred to this program as the Freshest Beer in Town program, but Bill and I may refer to it just as Freshest Beer program to keep it brief. We are evaluating these markets for any unexpected effects and the overall business benefit of this program. But at this point in time, we are happy with the trade-offs we see. We are exploring what is required to support expanding this program to more wholesalers and would hope that the outcomes continue to be positive for our wholesalers and ourselves to support 50% of our volume by the end of 2011 with this Freshest Beer program. If successful, we would expect 2011 shipments to be lower than 2011 depletions by approximately the amount of the inventory reductions achieved. Now, Bill will provide the financial details. 
Bill Urich: Thank you, Jim and Martin. Good afternoon, everyone. We reported net income of $15.4 million, or $1.09 per diluted share for the three months ended September 25th, 2010, representing an increase of $5 million or $0.37 per diluted share from the same period last year. The increase is primarily due to increased core shipment volume partially offset by increased selling and general and administrative expenses.  Core shipment volume for the three months ended September 25th, 2010, was approximately 613,000 barrels, a 14% increase versus the same period in 2009. The increase in shipments for the quarter is due primarily to increases in Samuel Adams Seasonals, Twisted Tea and the Samuel Adams Brewmaster’s Collection, partially offset by declines in Sam Adams Light. We believe that inventory levels at wholesales at the end of the third quarter are similar to previous years. Our third quarter 2010 gross margin of 56% represented an increase of two percentage points over our third quarter 2009 gross margin. The increase reflects the lower brewing and packaging costs per core barrel at our Pennsylvania brewery, resulting from our cost-savings initiatives and pricing increases of approximately 1%. Third quarter margins were higher than our full year target of 54% due to the positive impact of volume seasonality on gross margins per barrel in the third quarter. Third quarter 2010 advertising, promotion and selling expenses were $1.9 million higher than those incurred in the third quarter of 2009, primarily as a result of increased investments in point of sale materials and local marketing as well as higher cost for additional sales personnel. General and administrative expenses increased $1.4 million during the quarter as compared to the prior to year due to increased salaries and benefit costs and legal expenses as well as the timing of certain other consulting and administrative costs. Based on information of which we are currently aware, we continue to expect our 2010 earnings per diluted share range to be between $2.85 and $3.15. We now project full year depletions growth of between 9% and 11% based on our analysis of year-to-date depletions versus 2009.  We project full year revenue per barrel increases of approximately 1% through minor price optimizations. We anticipate cost stability for packaging and ingredients for the remainder of the year and currently believe that full year 2010 gross margins will be approximately 54%. We are committed to trying to grow market share and to maintain volume and healthy pricing and are prepared to invest to accomplish this even if this causes short-term earnings decreases. The currently expect 2010 capital expenditures to be between $12 million and $18 million, primarily for continued investments in the Pennsylvania brewery as we pursue further efficiency initiatives and equipment upgrades, as well as additional keg purchases to support continued growth. The actual amount spent may be well different from these estimates based on the timing of projects and investment decisions. Looking forward to 2011, based on information we are currently aware, we are forecasting the depletion growth in the mid-to-high single-digits and believe that the competitive pricing environment will continue to be challenging and revenue per barrel increases would be approximately 1%. If we successfully execute our Freshest Beer program for 50% of our volume in 2011, we would expect shipments growth would lag depletions growth at approximately two percentage points. We currently can’t predict neither the success of this program or the scope of its implementation in 2011 nor the extent of the cost associated with the program that might be incurred in the implementation and execution. Once the program has been implemented, we would expect shipments and depletions to return to historical relationships. If we are able to exit the Freshest Beer program more quickly or with greater inventory decreases, then currently envision that results would be that 2011 shipment growth will lag depletion growth by more than originally anticipated. We will continue to focus on efficiencies at our company owns breweries and are currently not aware of any significant increases in the cost of packaging and ingredients for 2011. Full year 2011 gross margins are currently expected to be between 54% and 56%, which is prior to considering the impact of implementing the Freshest Beer program. The event to increase our investments in our brands in 2011 commensurate with the opportunities for growth that we see, but there is no guarantee such increase investments will result to increased volume. We are currently evaluating 2011 capital expenditures, and based on current information or initial estimates are between $15 million and $25 million, most of which relates to continued investments in our company-owned breweries as well as additional keg purchases. These estimates do not include capital expenditures that we may interest to support the Freshest Beer program and the actual announcements may be well different from these estimates. Based on information currently available, we believe that our capacity requirements for 2011 can be covered by our company-owned breweries and existing contracted capacity at third-party brewers. We will provide further 2011 guidance when we present our full year 2010 results. We continue to maintain a strong cash position with $53.2 million in cash as of September 25th, 2010. This is slightly lower than the quarter, second-quarter balance due to repurchasing approximately $21.7 million of shares under our stock repurchase program during the quarter. On October 28, 2010, the Board of Directors approved an additional increase of $35 million to the previously-approved $190 million share buyback expenditure limit, for a new limit of $225 million. We have approximately $37.1 million remaining on the $225 million share buyback limit set by the Board of Directors.  We will now open the call up for questions. 
Operator: (Operator Instructions) Our first question comes from Philip Gorham.
Philip Gorham – Morningstar: Thanks for taking my question. Martin, you mentioned that you see some improvement in September and October, could your talk about if that is being driven by any particular channel? Or is it quite broad based?
Martin Roper: Yes. Hi, Phil. I don’t think that is being driven by any particular channel.
Philip Gorham – Morningstar: Okay. And you also mentioned an increase in competitive activity, is there anything specific going on there as well?
Martin Roper: Not specific to the quarter. But I think for a while now, we’ve been recognizing that there continues to be new entrance into the category. There are new breweries starting up. They continue to startup. We also see more styles from existing competitors. We see geographic growth of sort of local and regional brewers into broader geographies and we also see the major brewers announcing their intent to increase their focus in the high-end.
Philip Gorham – Morningstar: Okay, great. Thanks a lot.
Martin Roper: Thanks, Phil.
Operator: Our question comes from Andrew Kieley.
Andrew Kieley – Deutsche Bank: Good afternoon, guys.
Martin Roper: Hey, Andrew.
Bill Urich: Hey, Andrew.
Andrew Kieley – Deutsche Bank: I just want to start the Q3 depletions were quite a bit lower versus the shipments, I was just wondering if you could talk about that? And in terms of the full year guidance, just given the good depletions outlook and the pretty stable costs, it seems pretty conservative for next quarter. Are you anticipating that some of the shipments would reverse next quarter? Is there something else we should factor in next quarter?
Martin Roper: Sure, Andrew. Let me try and respond the best I can with the information that we’ve disclosed. I think in the first half of the year, we obviously had good strong trends and I think when we announced our second quarter; we indicated that we saw some weakening at the end of the second quarter that continued into the third quarter. But towards the end of the third quarter, we saw some pickup. Now, obviously, the third quarter number is announced that 7% and that’s where might conclude that the first part of the third quarter was a little lower than that in the back end of the third quarter was a little higher than that. I think, we’ve also in the release announced what our depletions are year-to-date through October. So, you can sort of backend to what our October number is to pretty roughly. I think we expect the remaining months to be a little slower than the year September-October trends. I think that’s what we’re currently projecting in order to get toward full-year guidance. I think you can also sort of back into that. That’s sort of based partly on our knowledge of promotional and timing of promotions and also our knowledge of what our brands for increase in this period of time. But we’re still pretty happy with the year and will be happy to finish in the range that we had. Now, with regards to shipments, now shipments as you know don’t always tightly attract depletions, particularly in the first sort of part of the year, there tend to be some inventory build that happens at wholesale and that ebbs and wanes through the year based on momentum. I think the strengths of shipments in the third quarter just reflects wholesaler sort of excitement by what they saw happening in September and October. I don’t think you should read much more into it than that. And our full year guidance is that shipments would pretty close mirror depletion trends.
Andrew Kieley – Deutsche Bank: Okay. And then I just wanted to turn to the freshness program that seems like a pretty interesting initiative. Is there a – at this point, can you put a number on the savings opportunity or is that primarily about better customer service to your distributors, and partnership with them?
Martin Roper: I’m not willing to commit to a number for us or our wholesalers nor is it clear that it will save us money over and above the cost to execute. But we are excited by the benefits we see to how our ideas will appear in the market and also how they will taste in the market. There are obvious benefits to our wholesaler network in reduced inventories, reduced storage capacity, reduced tying up of money and some other benefits that are sort of in the background around auto planning and forecasting. From our perspective, we see benefits beyond just the pure drink of benefits in terms of a smoothing out some of our shipping schedules. I just answered your previous question with a discussion about inventory billed versus depletions and some of those things would be significantly reduced allowing for better forecasting, maybe better brewery operations. There certainly are some extra costs in increased flexibility of our brewery operations to be able to respond quickly, to changes and demand and potentially also other costs in freight and things like that. But at this point in time, with these two wholesalers up and running and some others just about to start, it’s a little early for us to actually quantify any of those things. We do know we will need to systemize from an IT systems perspective the new sort of supply chain ordering delivery functionality, so we do know we have some investments there and we also expect some investments to basically deliver flexibility in our sort of delivery packaging areas to ensure we can be responsive. But at this point in time, it’s early and as we ramp up the percentage of our volume that is on this program, we expect to see new opportunities for investment and I think we’d hope to have a better feel for this probably when we do our Q1 results next year.
Andrew Kieley – Deutsche Bank: Okay. So you would maybe refine the cost outlook for next year at that time to incorporate that?
Martin Roper: Yes. We’re obviously having an update when we do our full year. But I’d expect to even when we have our full year results in the middle of Q1, we won’t have a really good view as to all the costs and benefits and trade-offs. So, we may still at that point in time be just saying, “This is what we see,” and we don’t have a firm indication for you.
Andrew Kieley – Deutsche Bank: I mean against the – you’ve given some initial gross margin guidance and CapEx guidance, and it would it be a huge variance against those to invest in this program?
Martin Roper: I think at this point in time, we don’t have visibility to that. What we’ve done is provide guidance as if this program was not being executed. I think our hope would be that the impact of this program would not be that significant, but again it’s just too early to tell.
Andrew Kieley – Deutsche Bank: Okay. And then the last question, I just wanted to ask about production needs. Are you thinking now about eventually adding another plan or adding capacity? It seems you are comfortable with your capacity for 2011, but I would imagine if you need more capacity beyond that, you would have to start thinking about that now. So, could you talk about that a little bit or would you need to add a plan? Is the third-party contract brewing enough to tide you over? How should we think about that?
Martin Roper: Well, we’ve always maintained good relationships with third-party contract partners and that gives us a lot of flexibility to deal with short-term growth. We continue to invest in our breweries to improve quality and efficiency, and also capacity. I think sort of medium-term, there are projects that allow us to leap that capacity forward as oppose to incrementally moving it up. So, we feel pretty good about our capacity. There are always options that come across our desk for other breweries ranging from obviously constructing Greenfield to buying and we evaluate those as they come up. But at this point in time, we feel pretty good about what we have and what our options our in our existing facilities.
Andrew Kieley – Deutsche Bank: Okay. Thanks.
Operator: (Operator Instructions) Our next question comes from James Watson.
James Watson – HSBC: Good afternoon, everyone.
Martin Roper: Hey, James.
James Watson – HSBC: Just a follow-up on the Fresh Beer program. I was wondering what the impetus for this program was? Was it something that you guys wanted to do to supply fresher beer or is this something that the wholesalers came to you with?
Martin Roper: [Inaudible] as to how we get beer at the market. I think what we’ve done with the whole set as we’ve been working with has been very helpful in understanding how they ship beer to market and how can better synchronized those efforts and take cost out of the whole system, not just their system. So, I think we’re pretty encouraged that it’s a good idea, it’s a good initiative for us to push forward and I’ll let Jim just talk about maybe any inspiration for that idea. If Jim, you can come online.
Jim Koch: Sure. James, the impetus for the program came from Boston Beer Company and its actually pretty straight-forward. We saw it as an opportunity to improve the quality of the Sam Adams that a drinker gets like taking weeks out of the wholesaler inventory. We could give them a better glass of beer and certainly, the foundation we believe for our success has been the quality of our beer and this was an opportunity to strengthen that foundation. Wholesalers so far have been very receptive to it because it does take costs out of the supply chain, we believe, at this point in those costs that more clearly visible at the wholesaler who has to carry significantly less inventory with the financing cost and the carrying costs and the tying up of the space in their warehouse. It’s very early and its impact on our cost structure is at this point uncertain. Its impact on our capital investment requirements is uncertain. We’re piling it in order to better understand what it’s going to take to make this successful. But the [inaudible].
Operator: Excuse me, Mr. Smith. This is the operator. May I get your email address?
James Watson – HSBC: Distributor consolidation a lot, and some of the inefficiencies within the wholesaler network. I mean given consolidation and the challenges that presents to smaller brewers, is this something you are doing to strengthen your own position of the smaller brewer within a better consolidating distributor market?
Jim Koch: Not directly. But it’s always been part of our business strategy to provide high quality service to our wholesalers and to make it easy to do business with Boston Beer Company. So, this is really one more element of making it easy for a wholesaler to want to sell Sam Adams.
James Watson – HSBC: Thank you. One more question on the margins. We saw another big reduction in cost per barrel this quarter. Is the efficiencies that penciled in for your brewery coming in way ahead of your expectations here?
Martin Roper: I think we continue to make improvements in how we operate the breweries and how they support our market needs. Certainly, the quarter benefited from some seasonality of volumes and breweries have a fix cost structure and the seasonal benefits of those volumes results in improved gross margin reduced cost. So, that’s partly what you’re seeing on our quarter, but a comparison to Q2 and Q1. But, no, we’re very pleased with the teams at all of our breweries who have made good progress on a number of projects. I think it’s fair to say it’s never as fast as you’d like, but we’re very satisfied with the momentum and look forward to continuing that.
James Watson – HSBC: Great. Thank you very much, guys
Operator: At this time, there are no further questions.
Martin Roper: We’ll just wait a minute in case anyone wants to ask another question, otherwise we’ll move on.
Operator: (Operator Instructions) We do have a follow-up question from Andrew Kieley.
Andrew Kieley – Deutsche Bank: I just wanted to get back to what you said about the competitive environment and the activity by the national brewers, has there been any change there? Are you seeing any more effectiveness from their offerings in the segment? Is there more activity or not much changed, in terms of their product offering in the segment? Thanks.
Martin Roper: Andrew, I’m trying to think if there have been new product introductions, and I’m sure there have but none come to mind. I think what’s been happening is announcement of intent and maybe re-launching of certain categories like blooms and seasonals, I think I just read something was being re-launched. It’s that sort of activity. I believe MillerCoors announced the formation of their dedicated division. I don’t know what that means, but that’s an indication of intent. I think, again, I haven’t read all the reports on what [inaudible], but my understanding is they committed to some push in the high-end and some brands were mentioned that could target our craft or domestic specialty. So, it’s just a much more crowded shelf because everyone’s paying more attention to it. It is the growth category within beer right now and obviously, that’s exciting to us. It’s also opening up opportunities in some of the costs, the trades, which perhaps have been under represented by the category. The big brewers are helping to open up a focus on those classes of trade, so that’s good. But to point to specifics, I would struggle to do so.
Andrew Kieley – Deutsche Bank: Thanks.
Operator: Our next question comes from James Watson.
James Watson – HSBC: Thanks for the follow-up. A question about where the volume is coming from. I was just wondering if you guys can you guys talk about any particular channels. I mean you’re just kind of hinting at maybe some C&G growth for the craft segment or if there were any particular brands that were outperforming versus your expectations.
Martin Roper: James, is that last question within our portfolio or relative to the category as a whole.
James Watson – HSBC: Within your portfolio.
Martin Roper: In our portfolio. I think we believe that what we’re seeing as a continuation of the long-term trend for drinkers to want to trade up and pay more for a beer and a good quality beer. So that trade up is driven by both economics and the affordability of beer and the growth of disposable income, but also by people’s taste sort of polarizing between very light beers and more flavorful beers, and obviously the flavorful beers can be sold at a higher prices of trade up. So, we think that trends going on. We think it’s continued even with the recession and the economic issues that we’re facing and even with the total beer business reportedly down. We don’t really have tracked those numbers, but reportedly down we’re seeing healthy growth in this category. We think drinkers are looking for quality beers made by reputable brewers with good reputations and they’re looking for flavor and they’re willing to pay a better price for it. So, where is the volume coming from? Those drinkers they’re trading up for mass domestics. They’re trading across from imports. There’s obviously some trading within the craft category itself and I think we see all of those things sort of happening. Within our brand portfolio, I think we’re happy with the health of a lager, the seasonal styles and also happy with some of the other activity we have on our [inaudible], so generally positive across our portfolio.
James Watson – HSBC: Great. And have you guys – spoken much about increasing the availability driving some of this growth or is most of this just sort of increased velocity?
Martin Roper: James, I don’t think we’ve really disclosed that. I think if you would look at the publicly available data, the IRI or Nielsen data, you’d see that we actually have pretty solid distribution of our lead styles on a national basis and that’s why we’re still getting distribution growth and there’s always distribution opportunities. A lot of the off premise growth is coming from same store sales.
James Watson – HSBC: Great, thank you very much.
Operator: (Operator Instructions)
Martin Roper: Well, if we show no further questions, then we’d like to thank you for joining us today and we all look forward to a beer tonight, and talking to you again in Q1 with our full year results. Cheers.
Jim Koch: Thank you.
Bill Urich: Thanks.
Operator: This concludes today’s conference call. You may now disconnect.